Operator: Hello and welcome to the KORE Group Holdings’ Third Quarter 2023 earnings call and webcast. [Operator Instructions] As a reminder this conference is being recorded.  It's now my pleasure to turn the call over to Charley Brady Vice President, Investor Relations. Please go ahead Charley .
Charley Brady : Thank you, operator. On today's call we'll be referring to the third quarter 2023 earnings presentation. That will be helpful to follow along with as well as the press release filed this afternoon that details the company's third quarter 2023 results both of which can be found on our Investor Relations page at ir.korewireless.com. Finally, a recording of the call will be available on the Investors section of the company's website later today. Please note that this webcast includes forward-looking statements, statements about the company's beliefs and expectations containing words such as may, will, could, believe, expect, anticipate and similar expressions are forward-looking statements and are based on assumptions and beliefs as of today. The company encourages you to review the safe harbor statements, risk factors and other disclaimers contained on this slide and today's press release as well as in the company's filings with the Securities and Exchange Commission, which identifies specific risk factors that may cause actual results or events to differ materially from those described in our forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after this webcast. The company also notes that we'll be discussing non-GAAP financial information on this call. The company is providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States or GAAP. You can find a reconciliation of these metrics to the company's reported GAAP results in the reconciliation tables provided in today's earnings release and presentation. I'll now turn the call over to Romil Bahl, the company’s President and Chief Executive Officer.
Romil Bahl: Thank you, Charley. Good afternoon everyone and thank you for joining us today for our third quarter 2023 earnings call. With me is Paul Holtz, KORE's Chief Financial Officer. As always I'll start with a brief overview of the key events and announcements for the third quarter and I will be followed by Paul who will discuss our financial results. We will then look at our sales results and finish as always with a Q&A session.  First and by far the most important of our key announcements today, I am very pleased to announce that we have signed agreements to refinance our approximately $300 million term loan with the issuance of a new $185 million term loan and a strategic investment of $150 million of 13% preferred stock. The final closing of these transactions is expected to occur in the next week or two.  Slide 4 provides an overview of the transactions which Paul will detail later in the call. But make no mistake about it, this refinancing is a very important milestone for KORE. With these transactions we have reduced our overall debt level and lowered our first lien leverage ratio from roughly 5x to roughly 3x our 2023 estimated adjusted EBITDA.  We have extended the term loan maturity to 2028 matching the maturity of our $120 million convertible note and added approximately $15 million in cash to our balance sheet. Importantly, we have also increased cash flow flexibility as the preferred stock dividend has a payment-in-kind or PIK feature allowing the company the option to defer cash dividend payments.  This payment optionality allows KORE to increase our free cash flow as we accelerate revenue and EBITDA growth over the next few years and further delever our balance sheet. We believe this near-term debt overhang has been the single overriding concern of public company investors and we are happy to remove this obstacle to shareholder value creation. We can now direct all of our attention to driving organic top line and adjusted EBITDA growth.  Turning to Slide 5, we present some additional key announcements from the third quarter. Expanding our presence with distributed enterprise customers KORE announced that we would collaborate with a national US retailer to enable its digital transformation with 5G connectivity. This marks a turning point for the industry as 5G connectivity is driving a nationwide shift towards digital first retail. KORE is well positioned to support retailers transitioning to 5G connectivity by providing critical 5G services and solutions complete with backup options thereby enabling retailers to innovate in areas like inventory control, daily operations and consumer engagement.  In September, KORE was honored to receive a 2023 IoT Evolution LPWAN Excellence Award from IoT Evolution World for KORE LPHub which is KORE's innovative LoRaWAN solution. KORE LPHub is a SaaS-based Service Delivery Platform or SDP which deploys, manages and connects LoRaWAN devices over a cost effective Low Power Wide Area or LPWA network ensuring device longevity and supporting expansion into the massive IoT market segment. This award is a testament to KORE's ability to bring new products to market and remain an IoT innovation leader which in turn drives top line growth.  Finally building on KORE's IoT for Good initiative, we announced an alliance with GrandPad to support their mission of helping seniors age in place with IoT. Powered by KORE's robust IoT connectivity solutions, GrandPad provides an easy to use communication device that allows seniors to connect to vital caregivers and family members by making video calls, sending voice messages and viewing media.  Over the next three decades the number of adults over 60 years of age who will require long-term care is expected to more than triple. Partnerships such as this position KORE with an early presence in long-term secular growth markets enhancing KORE's ability to capture market share.  Now let's turn to our third quarter financial results and updated 2023 guidance on Slide 6. Our third quarter results came in at $68.6 million of revenue increasing year-over-year from the third quarter of 2022 by approximately 4%, driven by strong growth in our high margin IoT connectivity business which increased 27% year-over-year and in the high single digits organically.  Excluding the forced churn of non-KORE customers due to the 2G, 3G sunsets, IoT connectivity grew in the mid-teens organically showing clearly how IoT connectivity can be a strong top-line growth business at high gross margins. This growth in IoT connectivity was partially offset by the expected decline in IoT solutions due to the customer order deferrals we discussed on our last quarterly earnings call.  Despite experiencing additional delays in IoT solutions orders from a few customers, we expect to generate year-over-year quarterly revenue growth again in the fourth quarter of 2023. Gross margin increased 257 basis points year-over-year to 54.8%, a new quarterly record and benefited from continuing carrier cost optimization and a lower mix of IoT solutions revenue.  Third quarter 2023 adjusted EBITDA of $14.2 million declined approximately 6% year-over-year due to increased operating expenses including SOX compliance. Adjusted EBITDA margin declined approximately 220 basis points to 20.6% from 22.8% but did experience a slight improvement from the second quarter of this year.  The IoT solutions order delays we experienced in the third quarter have extended in the fourth quarter pushing additional revenue into 2024. To be clear, this is not lost revenue but is primarily a function of certain IoT solutions customers managing year-end inventory levels and delays in remote patient monitoring deployments and clinical drug trials that use IoT devices. We fully expect to recognize these orders in 2024 and continue to serve these customers as they grow back to normal business volumes. Given all of this, our full year 2023 revenue is expected to be lower than our previously guided range of $300 million to $310 million. As such, we are revising our 2023 revenue guidance to a range of $280 million to $290 million. On a positive note, this does give us a slight tailwind for 2024 revenue and we will provide more guidance for next year on our fourth quarter earnings call. Despite the reduced revenue outlook, we are maintaining our 2023 adjusted EBITDA guidance of $60 million to $62 million due to improved profitability on the acquired Twilio IoT business and reduced operating expenses as we flexed to reflect current IoT solutions revenue levels both of which helped offset the reduced profitability from deferred revenue. The restructuring activity we began in the fourth quarter is expected to result in approximately $10 million in cost savings in 2024 reducing potential margin impacts from ongoing macroeconomic events.  And with that, I will now hand the call over to Paul to cover the financials in more detail. Paul?
Paul Holtz : Thank you, Romil and good evening everyone. Turning to our results on Slide 7, third quarter revenue increased 4% year-over-year to $68.6 million compared to $66.1 million in the third quarter of 2022. By segment, IoT Connectivity revenue of $55.2 million which included our first full quarter of revenue from the Twilio IoT acquisition increased 27% year-over-year. Organically IoT Connectivity grew in the high single digits year-over-year. If we exclude the revenue from the non-core customers that were forced to turn at the end of 2022 due to the network sunsets in the United States then IoT Connectivity revenue grew organically in the mid-teens year-over-year. This growth is despite some delays in deployments or plan upgrades at some customers that we were expecting in 2023 but have now been pushed to early 2024.  IoT Solutions revenue declined 41% year-over-year to $13.4 million. As I mentioned on the previous earnings call, we saw some requests from our largest Connected Health customers to defer orders to the third and fourth quarter which increased the risk that these orders could slip further into 2024. This risk has materialized as seen in our lower than anticipated third quarter IoT Solutions revenue.  We are forecasting to increase IoT Solutions in the fourth quarter but with customers continuing to ask for deferrals to manage costs and year-end inventories and the limited capacity to the various holidays within the quarter, we are being more conservative on how much revenue we will recognize before the end of the fiscal year in IoT Solutions. Total gross margin in Q3 2023 was 54.8%, an increase of 257 basis points year-over-year. The increase in gross margin year-over-year is mainly due to the mix of IoT Connectivity revenue in the current quarter which was 80% of overall revenue this quarter. IoT Connectivity gross margin of 61.7% was down approximately 300 basis points year-over-year. This decline was expected due to the inclusion of the lower margin revenue from the Twilio IoT acquisition.  However, Twilio IoT margins have continued to be higher than we originally forecasted which will result in the Twilio business being break even by the end of this year. IoT Solutions gross margin declined 174 basis points year-over-year to 26.9%. As typical, the change in IoT solutions gross margin was due to the hardware and services mix in the quarter.  Total connections at the end of the third quarter were 18.9 million, an increase of over 300,000 from the end of the second quarter of 2023 and approximately 3.6 million from the end of the third quarter of 2022. Dollar based net expansion rate or DBNER for the 12 months ended September 30 2023 was 96% compared to 100% in the prior year.  As a reminder, DBNER measures the growth from existing customers in the trailing 12 months compared to the same customer cohort in the year ago period much like same store sales growth rate. As a reminder, customers acquired from the BMP and SIMON in the first quarter of 2022 are included in the calculation. However customers gained from the Twilio IoT acquisition are not included.  The DBNER calculation continues to be negatively impacted by the significant revenue received in 2022 from our largest customer’s LTE transition project that began in June 2021 and ended in June 2022. During this period revenue from our largest customer more than doubled. If we exclude total revenue from our largest customer because of this significant non-recurring event, DBNER at the end of the quarter would have been 104% compared to 106% at the end of the third quarter of 2022.  Operating expenses including depreciation and amortization in the third quarter also including a $78.3 million non-cash goodwill impairment charge were $125.5 million, an increase of $82.9 million compared to the same period last year. In addition to the non-cash goodwill impairment charge, the increase is mainly attributed to the increase in headcount related costs which includes a full quarter of these costs from the Twilio IoT business.  Third quarter interest expense including amortization of deferred financing fees, increased year-over-year to $10.6 million versus $8.2 million in Q3 2022, due to the increased borrowing costs on our existing senior secured term loan. Net loss in the third quarter was $95.4 million compared to $14.3 million in the same period in the prior year. The year-over-year increase in that loss was primarily due to the non-cash goodwill impairment charge of $78.3 million due to the decline in the company's share price and also the increase in interest expense.  Adjusted EBITDA in the third quarter was $14.2 million a decrease of approximately $1 million or 6% compared to the same period last year. Our adjusted EBITDA margin in the current quarter was 20.6% down approximately 220 basis points compared to the same period in the prior year. The year-over-year decline in adjusted EBITDA and adjusted EBITDA margin were impacted by increased costs for headcount including the additional headcount associated with Twilio IoT business.  Moving to cash flow, cash provided by operations for the nine months ended September 30, 2023 was approximately $4.5 million compared to cash provided by operations of $20.5 million for the same period in the prior year. The change year-over-year included increased collections in the prior year from the LTE transition project from our largest customer versus the current year which had additional outflows of cash from interest and the operating activities from the Twilio IoT acquisition. At the end of the third quarter, cash excluding restricted cash was $19.8 million compared to $34.7 million as of December 31, 2022.  Turning to our debt refinancing, as Romil mentioned, we are excited to be working with two new strategic partners with deep experience in the telecom space that will help strengthen our balance sheet and give the company more flexibility to invest in growth opportunities going forward. We are replacing our previous $300 million term loan with a new $185 million term loan which will decrease our total leverage ratio at the end of the third quarter from 7.3 turns to 5.3 turns of last 12-month adjusted EBITDA. The new term loan carries an interest rate of SOFR plus 650 basis points compared to the prior loan which was at SOFR plus 550 basis points. The new term loan credit agreement allows for interest rate reductions of 25 basis points for each half-term reduction in our first lien leverage ratio up to a maximum reduction of 50 basis points. In conjunction with the new term loan, we issued $150 million of 13% preferred stock with 11.8 million 10-year penny warrants.  Importantly, the preferred stock dividend has a PIK feature which allows for greater cash flexibility. After the transaction expenses, we expect to add approximately $15 million of cash to our balance sheet. I know I'm not just speaking for myself but the entire company is thrilled to have this debt refinancing overhang behind us.  And before passing it back to Romil, I would like to make a couple of comments on our updated 2023 annual guidance. We have revised our 2023 revenue guidance downward to $280 million to $290 million versus our previous guidance range of $300 million to $310 million to reflect order deferrals by some of our Connected Health customers in our IoT Solutions business. As mentioned earlier, these risks have materialized, are larger than we originally estimated and will push revenue into 2024.  To be clear, most of these are not order cancellations or lost orders and based on discussion, those order deferrals will be deferred to 2024 are expected to be recognized in early 2024. At this point, we don't expect to see the recognition of these deferred orders to significantly cannibalize the orders we are forecasting to receive for the rest of 2024.  Despite the reduction in our revenue guidance, we are maintaining our 2023 adjusted EBITDA guidance of $60 million to $62 million. We are able to do this for a number of reasons. Firstly, the majority of the reduction of revenue in 2023 is coming from the lower margin IoT Solution revenue. Secondly, we will have less variable compensation due to the lower revenue number. And lastly, we are reallocating costs based on our current priorities which will result in approximately $2 million in savings in Q4 but more importantly will benefit 2024 more significantly likely in the $10 million range. Additional information on this plan will be given on our Q4 earnings call as part of our 2024 annual guidance.  And with that, I'll pass it back to you, Romil.
Romil Bahl: Thanks, Paul. As we finish 2020 to 2024, we do so with lower leverage, a strong balance sheet, and greatly improved cash flow. Further, we are confident that with the transitory effects of the 2G, 3G sunsets and LTE transition project at our largest customer now behind us, we will deliver on our top line growth promise. In fact, we are on track to achieve double digit revenue growth in 2024 as evidenced by our increasing global sales pipeline.  Slide 10 represents a snapshot of our global sales pipeline as of September 30, 2023. Our sales pipeline now includes over 1,700 opportunities with an estimated potential Total Contract Value, or TCV, of approximately $740 million. In the third quarter, we generated an incremental $27 million or closed one PCV, bringing the year-to-date total to $87 million.  We continue to progress towards exceeding the $1 million closed one TCV in 2022 and delivering a fifth consecutive year of TCV growth. As a reminder, the majority of sold TCV is recognized as revenue over four years, and it is important to note that the closed TCV figure is aggregated across all of our business lines, which have different durations of revenue recognition.  Slide 11 showcases a few examples of our wins in the third quarter, which contributed to the closed one TCV of $27 million. These recent contract wins highlight the success of our growth strategy and demonstrate the expansion of new use cases for our products. We continue to win a greater share of our customers' wallets, as evidenced by a $4.4 million TCV contract win with a remote patient monitoring customer.  KORE will now become the sole provider of eSIM connectivity across the US, UK, and Europe for this customer, who will also be transferring lines to KORE from a competitor. We are very excited to win 100% wallet share with this customer because of its high-growth prospects. KORE's ability to act as a one-stop shop to provide a full suite of IoT deployment services for customers continues to be a competitive advantage.  In the third quarter, a national retail chain selected KORE to provide full lifecycle managed services for a planned migration from 4G to 5G with a contract value of $6.2 million. KORE will provide connectivity, installation services, and ongoing management of the customers' devices. Expanding on existing customer relationships built on excellent delivery of our initial scope allows KORE to expand its services with existing customers. A great example is the $2.5 million TCV contract and existing rent-to-own store franchisor customer awarded KORE to provide connectivity across multiple carriers. KORE is also working on upgrading lines from 4G to 5G to expand its footprint further with this customer.  KORE continues to win internationally. And in the third quarter, a GPS tracking and fleet management software provider based in Australia selected KORE as its connectivity provider utilizing KORE OmniSIM for an initial contract TCV of $435,000. Although we chose these four wins to highlight in the press release and slide deck, this is by no means a complete list as we had several other important wins in the third quarter in each of the four thematic areas represented on this slide. Despite its parent company utilizing an MNO for connectivity, a provider of smart outlets, switches, thermostats, door locks, and sensors awarded a several hundred thousand dollar TCV contract for KORE to be their connectivity provider based on the capabilities of KORE's OmniSIM or eSIM offer. KORE also won a $185,000 TCV contract from a tracking and computer printing technology manufacturer to support a global deployment in partnership with a hardware provider by supplying OmniSIM for in-store and warehouse inventory management.  A leading provider of a proprietary decentralized platform and suite of supporting services used by life sciences organizations for remote capture of patient data was looking for a one-stop technology enablement partner to help them reduce hardware lead times and the use of multiple hardware and connectivity vendors globally. KORE was selected for this $860,000 TCV contract due to KORE's ability to provide a one-stop shop for hardware, software, device management, and connectivity on a global scale. And finally, an existing KORE Connected Health international customer awarded KORE additional contracts with a combined TCV of $236,000 to provide connectivity to multiple global clinical trials. These wins span a broad array of end markets and use cases from commercial building, smart sensors and switches to warehouse inventory management and logistics to global clinical trials and remote patient monitoring in hundreds of countries worldwide. KORE's ability to support this breadth of use cases globally is foundational to the unique value we bring to our customers every day.  Our final slide, Slide 12, summarizes the key messages we have talked about today. We continue to add organic connections in the third quarter and KORE's total connections were approximately $18.9 million as of September 30, 2023. Let me just take a moment to put this in perspective. At the end of 2017, KORE had about 6.4 million connections. That's about when I was joining the company. So in less than six years, we have added approximately 12.5 million connections, almost tripling our IoT connectivity volumes, which represents, by the way, recurring revenue and a compound annual growth rate of approximately 21%. And this was net of the connections that churned due to the shutdown of the 2G, 3G networks.  Our global sales pipeline has never been more robust and today our funnel represents larger opportunities at significantly higher bandwidth and hence higher ARPU. On top of this momentum, the company has now delevered, strengthened its balance sheet and increased cash flow flexibility.  As I briefly mentioned earlier, the company initiated a restructuring in the fourth quarter that is expected to generate, as Paul also said, approximately $10 million in operating expense savings next year. This action serves to focus on our top priorities and reduce the risk to our profitability in light of ongoing macroeconomic factors potentially impacting future top line growth.  All of this is to say that KORE is in a better position today from both a financial and growth perspective than at any time since the company came public. Creating shareholder value remains a top priority and against the backdrop of what we have discussed today, we believe we are in a great position to deliver against this priority.  In closing, thank you to all KORE employees worldwide, our IoTers, for continuing to work together with a growth mindset to serve and support each other and our customers every day.  With that, let's start the Q&A, please.
Operator: Thank you. [Operator Instructions] Our first question is coming from Michael Latimore from Northern Capital Markets. Your line is now live. 
Michael Latimore : Well, thanks. Yeah, good afternoon. Well, congrats on the refinancing. I'm sure it's nice to get off the plate and you can focus a little bit more on growing the business there?
Romil Bahl : Yeah, absolutely. Thanks, Mike. 
Michael Latimore : Excellent, good. So just wanted to think two things up, it seems like from a macro perspective, it's -- sort of the macro environment may be slowing some deployments a little bit, but doesn't seem to be slowing your kind of new business bookings here. Is that kind of, it seems like a little bit of two sides of a coin there, but what's your thought of that? The macro doesn't seem to really slowing your business here?
Romil Bahl: Yeah, really good -- really good observation, actually and, I personally suspect the macroeconomic factors are impacting also TCV, but we're getting so much better at sales, at marketing, at the quality of leads that we're putting into our pipeline, the brand starting to become a little bit better known after you've been public for a couple of years. And so I personally think if the macroeconomic factors weren't impacting us, my TCV might even have been more, sort of excitingly growing this year. And I do think we'll grow over the $102 million from last year.  But your point is still valid, right? It's sort of a dichotomous view. Most of the pushback’s we're getting are from sort of larger, mostly Connected Health type focused customers for different reasons. And then there's just a macroeconomic impact across the board, which is cross industry. And that actually, we're feeling that in Connectivity as well. Our Connectivity volume, this is one of our lower organic volume growth years, people are very conscious of unused or zero usage SIMs. Right, they're turning those off, proactively. They're optimizing their data spend and expenses more tightly than we've ever seen in almost six years now that I've been here.  So there is some macroeconomic impact across the board. It just is much more visible in these IoT Solutions’ large customers, where obviously, if a few of them start pushing back, we feel that given that, what is it? Eight of our top 10 customers are in connected health. So --
Michael Latimore : Okay, okay. Yeah. And then on the last call, you talked about maybe I think it was $10 million of kind of solutions that could get pushed out, looks like it's more like $20 million now. Can you just elaborate a little bit on, are these the same customers or is that expanded to some other customers? Or is there more connectivity change here somewhere? Or are we [good]?
Paul Holtz: Yeah, no, it's a mix. But for the most part, it's the same customers, like Romil mentioned, the larger Connected Health customers that are continuing to push out, whether that's because the clinical trial that they thought was going to start won't start till the new year, because there's not enough nurses available out there to actually do them. So it is some of the same customers. On the connectivity side, it's a lot less. But we are seeing some that will delay deployments into next year, or they were going to do some plan upgrades or firmware updates, which would give us some more overage revenues. They're pushing that out into 2024 to obviously manage results for 2023. 
Michael Latimore : Okay, great. Thanks a lot. Congrats on the refinancing.
Romil Bahl: Thanks so much, Mike. 
Michael Latimore : Thank you.
Operator: Thank you. Next question is coming from Lance Vitanza from TD Cowen. Your line is now live.
Lance Vitanza : Hey, guys, thanks for taking the questions. You know, I just had to drop off and dial back in. So I apologize. I'm guessing it sounded like that Michael had asked about the delays in the business from third, fourth quarter into the first and perhaps second quarter. So I'll try not to repeat that. But maybe we'll just jump into the refinancing. Congratulations. I know you haven't closed it yet but it's great that you feel confident in announcing it. I know you've been working on it for a while. How would you -- could you -- how would you describe the status? Is the funding fully committed on both sides, the preferred and the bank debt sides? And what if any hurdles remain? Are there any, like if the Dow sells off tomorrow, do we have to worry about people pulling the commitment? What kind of what contingencies are still in place at this point? Thanks. 
Romil Bahl: Yeah, now, thanks, Lance. And yeah, it's really, really exciting. And I mean, from the time we started on the first lien side on the debt side, when we started that process, Whitehorse Capital has just been sort of an outstanding forward leaning kind of, I'll say management and company friendly kind of partner, and certainly put together the most compelling of what were several alternative first lien offers. And obviously, they're sort of speaking for the whole thing themselves. We did have a more clubby sort of syndicate alternative as well.  So the first thing I'll tell you is, what was very sort of good to see was that in what is likely one of the tougher refinancing markets, the company, I think stood out in the process and had multiple sort of harpers. But they are fully committed and frankly could have funded by yesterday or today, when we signed. The really the only reason to delay, and by the way, we're delighted that we are the first investment, I believe, in Searchlight Capital's new fund. And just between the timing of them closing that fund and cash becoming available, and so forth, we've said, okay, let's just separate out the sort of definitive agreements, the signing from the closing. I suspect it won't take but a few days for that to happen. There are no conditions anticipated.  And just look, just a couple of words on Searchlight, if I could. Again, just a fabulous sort of forward leading stance they've had since we first met them. Don't know how much people know about them, but they've got about $12 billion in assets under management, and well over half of that is in the telco, so the telecommunications media space. So they're very knowledgeable in the space. Their vote of confidence means that much more than sort of generic money, if you will, right? Because this is very strategic, very savvy money in the telco space.  And we're looking forward to welcoming two of their members to our Board. I've got to know both of those members reasonably well here over the last few weeks and months. And we couldn't be more excited about how much difference I think they're going to make to a growth mindset around here. 
Lance Vitanza : Yeah, no, that's great. I'm very familiar with Searchlight in particular and so congratulations again. Maybe just to turn to if we could to the global sales pipeline on Slide 10, and my question there is, you've got the $740 million of opportunities. It seems as though it's spread out amongst a good number of opportunities but I'm wondering if we think that just sort of like, does the 80/20 rule apply there? I mean, is it the case that you have, maybe it's not 80/20. But is there a lot of concentration within the size of those opportunities that still remain to potentially close? Or is it really -- is it just a lot of more $2 million to $4 million contracts? And that's, I guess, one question.  And then the other question related to the funnel is, would it be possible to talk a little bit about, you have the arrows there from the qualification and evaluation stage, sort of at the beginning of the process, all the way down to the beta site stage, which is pretty close to when you're actually going to win the business. How would you sort of describe where the bulk of the $740 million sits? Is it really evenly spread throughout those four categories? Or is it more at the beginning of the process more at the end of the process? I'm just trying to get a sense of how we should think about what you're going to be able to announce closing on over the next, call it, two to four quarters? Thanks. 
Romil Bahl: Yeah, that's a fantastic question. And look, I actually appreciate the question, because it's starting to become such a big set of numbers, right? Where it's 1700 opportunities and three quarters of a billion dollars of sort of potential estimated TCV that breaking it out a little bit, I think makes it more meaningful, more digestible and so on. And the first thing I'll tell you is let's just talk size, right? Not that size s everything, Lance, right? But size, I mean, is kind of important for us. Because, again, like six years ago, when I arrived at the company, we had really relatively small deals, small customers in general, I mean, obviously, we were about a third of the size or so of what we are today, anyway.  But today, right, we have over 230 of these deals. So call it less than 1500 under $0.5 million, and the rest are over $0.5 million, right? About 100 between $0.5 million and a $1 million, another 100 between $1 million and $5 million, and then about 16 that are above $5 million and below $10 million and another 16 above $10 million. I don't think I've ever seen 16 deals, about $10 million in the funnel. I have a feeling that the first four years of my being in this company, we didn't have 16 in total, right, that were about $10 million. So in the next -- that's what's exciting about the kind of enterprise readiness, the maturity of our solutions, the kinds of conversations we're now having, the kinds of problems we're now solving.  And IoT has disappointed because it started in this very regional, right? Let's start with a pilot here, let's start with this there. Now it's starting to go global. And when you start to go global, you start to talk big dollars. And we're basically, we would argue, the top player of helping our customers solve the global problem with our multi, multi, multi on the one hand, with our eSIM offer on the other. Another couple of ways to slice and dice the funnel that I find helpful, I hope you do. We've done remarkably well at staying pretty stable around this sort of 60/40 mix of new customers versus existing customers. Remember, this funnel is new business. So it's, right, it's obviously if I have an existing piece of business and the sales guy goes and so, we signed that business, we may treat that every bit as a deal with that kind of discipline. But it's existing revenue, right? So it's not really new. So we don't, we don't report out externally to you guys, what I call existing, existing, right? But new business at existing customers, and then of course, new customers by definition, no matter what you sell them, is new revenue. And it's been consistently at about 60/40 new to existing, that's good to see because that tells you those new customer dollars coming in.  Another interesting thing, of course is, we've made no bones about the fact over the last year, actually almost two years now, we have been singularly more focused on the IoT Connectivity business, right? We like the Managed Services business. This is not, not saying anything bad about my team, they're a dedicated, fantastic team. But we treat it as I think we should, which is, when it helps differentiate us, when it gives a one-stop shop service to a customer, when it helps us win a deal or a customer, we should absolutely use it.  Otherwise, we're far more interested, in putting our proactive efforts, obviously, into our 65% gross margin Connectivity business. And that shows up in our funnel in spades. More than two-thirds of our funnel right now is IoT Connectivity, okay? And about a third is the Managed Services Analytics stuff that goes into IoT Managed Services. And look, I could go on and on because I'm passionate about sales and deals and so forth. But yeah, that's kind of how the funnel has evolved. 
Lance Vitanza : No, that's really great color. I appreciate that. If I could just ask one more question, this one on the competitive landscape, if you've seen any changes there since we last checked in? Is there, when you're going in and competing for this business, is it really just sort of trying to convince them that the use cases make sense? Or are you having to sort of fend off other would be providers? Or s it you're trying to keep them from in-sourcing? Or like, how does that changed at all recently? 
Romil Bahl: Yeah, another great, great question around the competitive dynamics. I'll tell you what's probably most striking about 2023 to date, and I think we're still building momentum, and there's more of this to come. But it's how pervasive is it, right, eUICC, not the form factor but that one SIM updatable in the field, put it anywhere, right? It'll figure out, it'll call home, it'll figure out where it is, you can download a profile to it, or indeed a multi-IMSI based single skew solution, like Super SIM, which is what Twilio brought to us, right?  The -- it has got to the point, Lance, where there is not a conversation we are having. There's obviously slight exaggeration in there, but the exceptions will prove my rule, right? The exceptions will prove the rule, which is, every conversation with a customer has an eSIM component, even if they're not ready to buy today, we're still positioning eSIM, right? And we're interested in learning about it, and making sure that their next device generation can utilize it. It's such a massive simplifier of their supply chains, and so forth. So you say, okay, so if the world is going to ship between $3 billion and $5 billion eSIMs over the next three to five years, and if you were to pick two. Certainly of the top three, I'm biased, I'll say two of the top two eSIM providers in the world, where are they today? They're all under the same roof, right? Because Twilio's Super SIM product and KORE's OmniSIM product are absolutely leading products.  And so, if every customer wants an eSIM, we've got that best product. We think we're pretty darn well positioned, and the differentiation, to your point, is starting to become more clear. And what's even more exciting is the next gen of the best breed of these, right? Which, let's just say we're launching about a year from now. And if we get that product right, sort of look out world, right? So that's one aspect of competitive dynamics. But it spawns off a couple of other points.  By definition, we are global. There are certainly other competitors out there, we respect, some of them -- some of them have done little roll ups, kind of like KORE did early in KORE's era, but they're more regional or, Pan-European in nature and that sort of thing. But as the leading independent, and as we are actually deepening and widening our competitive moat with our eSIM offer, with our platform and tech, I've actually never felt better. And not to put too fine a point on it, but the one company that used to scare me a little bit is here now, so. 
Lance Vitanza : All right, great. Thanks, guys. Appreciate the discussion.
Romil Bahl:  Thanks, Lance.
Operator: Thank you. Next question is coming from Jamie Reynolds from Morgan Stanley. Your line is now live. 
Jamie Reynolds : Hey, everyone, you've got Jamie on for Meta. I appreciate you taking the question. I guess, first, how is Twilio IoT business performing to expectations? And have you guys been able to retain the engineering resources? And then I guess, just as a more broad follow-up, are you seeing any customers renegotiate pricing given the macro conditions? 
Romil Bahl: Yeah, so two questions there. Let me just let me take the Twilio IoT team integration question first, or actually the status of the business even you asked. And I don't think it's any secret because we said this already on the last earnings call but the year or so that passed between when we first saw the management presentations and projections from the Twilio team, and when they started to first hear internally from their management that they were, “not strategic to the future”, has been detrimental, right? It was more than just a distraction to the team. Quite a bit of attrition happened on the sales force. And there's no company that can act cavalier with its talent and maintain its momentum, right.  And so the Twilio IoT unit that we took on was significantly smaller than what their projections were. And perhaps, more concerningly than just pure size, the sort of momentum, the right growth, I mean, they were supposed to be accretive to our growth rates, they're actually diluted right down to the KORE growth rates, right, in Connectivity. Now, it doesn't panic us out at all, because I think their teams sort of come into KORE and kind of, unleashed a new life, right? They're like, this is all about IoT, this is what we do, as opposed to being that other small little unit part of a much larger corporation that was focused on other things.  We replenished the sales team. The momentum is significantly different already. It's not a switch you flip and suddenly growth rates are back to 20%, 30% and the like. But the pipeline, you can see the early sides, you can see customers renewing with KORE. The ease, I'll say almost with which the customer transfers have been done to KORE. We haven't lost any significant customers to any concerns about, oh, my God, we used to be Twilio now we’re KORE. So I can confidently tell you that given that talent base, given their customer base, these guys will become accretive to our growth again, actually, in -- but at some point, Paul's not going to be able to tell what's Twilio and what's that, right? And he shouldn't be able to because it's one team. But I think they will be helpful and we'll get back there. And I'm very confident in that.  On the talent retention side, in general, again, very, very pleased. It's not something we take lightly. It's not something we sit back on our walls and say integration is done. But we're pleased. And while we've taken some medicine here in the fourth quarter, that Paul and I have talked about, we've largely left that team alone. In fact, one of the reasons to take the restructuring type actions was that we got all this talent in and we want to leave it largely intact, because it's more relevant to the future of the next generation product and, and, and.  So generally speaking, very good. Before I move on to your second question, anything more on Twilio or did I get that? 
Jamie Reynolds : No, really appreciate the detail. 
Romil Bahl: No worries. And then your second question was just our customers asking for lower price because of macro. First of all, customers are always asking for lower price, is there macro or not. But yeah, you could argue that the intensity of pricing conversation is up significantly. The -- our carrier partners sometimes, they don't quite understand why we keep coming back to them for more aggression. And those M&O partners that don't get more aggressive won't get our SIMs, won't get the growth because that's just the reality of what it takes right now. But equally, look, it's a -- it's good -- it's a good thing to get discipline and get focused on your asks of IoT providers, because the -- what's happening right now is going to force the separation of the wheat from the chaff in terms of the providers, right? More people are asking questions about quality and eSIM than ever before. And yeah, sure, price is a part of it. But it's sort of secondary to the main value proposition you're solving. 
Paul Holtz : And the only thing I would add to that when, yes, when customers are coming to ask for price decrease a little more, but as part of that, we're seeing more and more of customers where we don't have 100% of their wallet share, they're coming to us to say, well, if I move all of my share to you guys, what price can I get? And obviously, the more volume that they bring to us, we'll give them that because we're going to double our revenue with them or our base with them. So we're seeing a lot more customers looking to consolidate, because they know they can save costs.
Jamie Reynolds : That’s all [indiscernible]. 
Romil Bahl: Thank you.
Operator: Thank you. Next question is coming from Avril Lasaro, it’s a private investor. Your line is now live.
Unidentified Analyst : Hi, guys, and thank you for taking my question. Romil, you continue to say that creating value for shareholders is a top priority, and KORE is well positioned to achieve this goal. That's been going on for a number of quarters. Unfortunately, KORE has lost over 95% of its value in a little over two years. I'm glad you were able to refinance, although it appears to be very expensive, 10% dilution to shareholders, high interest rates and dividends on preferred equity. However, the real issue is management's ability to manage the business. Cost cutting is long overdue. And I look forward to learning more about your reorganization plan in Q4.  One of the things I don't really understand is why you do not have pricing leverage. You have great products, a great company, a growing market that spells out to me that you should have pricing leverage and you should be able to increase your prices. I remember back, I think it was in the fourth quarter of 2022, when you were talking about increased cost relative to your -- the inability to get products to customers, and other people were raising prices, but you didn't want to do that to your customers. And I don't understand why, if you could explain that for me?
Romil Bahl: Okay, so I think after quite a few comments, there was only one question. So I'll answer just that question. 
Unidentified Analyst : Right.
Romil Bahl: The question at the end was about a conversation in fourth quarter ’22 about not increasing pricing on products. It was not -- that was that was not the question. The question that had been asked of me at the time was by one of our sort of analysts who covers us was, hey, when hardware prices are up so much, right, are you just passing along those costs to your customers or are you further marking those up, right? So let's say a widget is $100. It became $140 because of inflation, right, are you just passing that through or not? Because the comment -- the question really came from a place where Paul and I talked about gross margins were down, because we were merely passing that through. And my response, which by the way, I would consistently respond and would always behave this way and this is why the fruits are there, because we haven't lost any customers in this business in three plus years. Gouging the customer when it's, let's say on the $100 product, I was getting whatever. On the hardware alone, let's call it a 10% margin just for simplicity. If on $140, I would then also say I want 15% margin, right? That customer will never forget that set of actions. Okay? And so being opportunistic in that moment, is what I said, we were not interested in doing, we certainly were passing along the cost, of course we were. That's just real costs. Hopefully that helps.
Unidentified Analyst : Yeah, but your SG&A costs are increasing. We're in an environment where your margins are decreasing, overall at the bottom line. And you can't just not increase prices and you have to at least address that issue. I have some other questions regarding your global sales pipeline. One of the other callers asked a question about how the opportunity revenue is distributed amongst the various stages. And I don't believe I heard the answer to that. My specific question is what percent of the overall pipeline is qualification and technical evaluation stage?
Romil Bahl: Yeah. Okay. So one of the reasons I didn't go there when Lance asked the question was because at any moment in time, this is a snapshot. There are deals that go through these things with velocity because they're relatively quick decision timeframes. There's other things that will sit in a contract time stage or a beta side stage for many months, because that's how long it takes for the customer to really get through a beta test. So just sort of, I would say, looking at a number in a phase is by no stretch of the imagination, a direct line to, hey, what will your PCV be in the next quarter? And that said, I'm happy to answer the question, right?  So there's, of 740 million odd dollars, obviously as one would expect, the vast majority of it is in the qualification and technical evaluation stage. It's about, I call it $450 million in that stage. It's closer to $200 million in the proposal stage. And then combined between what is signed and what is in beta, you're talking about another 80 odd million dollars of stuff that customers have literally said, yes, you're our guy or our supplier. And then we're going to do beta tests and so forth before we start to count it because we've found, we've learned from experience that sometimes the time between a contract signing and production revenue growing can be very long. And that's why we introduced that new beta site stage. But anyway, so that's the breakout is, call it $450 million, call it $200 million, call it 55-ish and $25-ish. 
Romil Bahl: All right, thank you very much for the questions. I think that pretty much takes us to the end of our call. I want to thank everyone for taking the time to listen to our earnings call and we look forward to updating you with our fourth quarter results in March. Thanks very much. 
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.